Marcin Jablczynski: Good afternoon, ladies and gentlemen. Welcome at our conference with the presentation of our financial results for the fourth quarter and the entire 2025 of Pekao S.A.. We have Cezary Stypulkowski, CEO; Dagmara Wojnar, Vice President, responsible for Finance Division; Marcin Gadomski, responsible for Risk Management Division; Lukasz Januszewski, Vice President responsible for Corporate Banking Division; and Ernest Pytlarczyk, Chief Economist of the bank. Over to the CEO.
Cezary Stypulkowski: We've already had the rehearsal of this conference with the media. So probably things will go smoothly, and we might speed up a little bit. I would say that what characterized the entire 2025 and actually we treat it as such an achievement of the bank that's acceleration of credit action and strengthening of the importance of commissions profit. I have already said repeatedly, we used the opportunity that we had built up until 2024 when other banks were under strong pressure. But our market shares were flat. Now they budged a little bit, not sold, but budged a little bit. The second thing is the result on commissions with all the caveats that we need to clarify, probably you will have some questions regarding these, and we will do our best to answer them. But that result is significantly higher corresponding to the declarations that we announced here in this room back in April. Its structure is already encouraging, although it's not so that we have resolved all problems. Nevertheless, we have steadily retained all the necessary ratios. The most important thing is probably the proportions of the entire aggregate. The result is plus PLN 7 billion return on equity more than decent and covering the cost of capital, probably one of not too numerous years where the banking sector was able to cover the cost of capital. And it seems to me that the public awareness is not yet widespread regarding the need for the banks to rebuild the capital. And the demand seems to be disappearing rather than growing. There were some issues related to cost of risks. So probably you will have questions on that. NPL, where we stumbled a little bit on those 5%. And consequently, we restricted dividend flexibility. Now it's under full control. Here, you can see the key areas with our strong dynamics. And this is exactly in those segments in which we wanted to achieve high growth because these are products with higher margins. We've always been a strong bank among large corpo segment, also closely linked to the public segment in Poland. We are now rebuilding our position and the numbers are very attractive. Now you can see a slide with a greater granulation of our profit and the key drivers that had a positive impact, particularly the sale of cash loans grew. It's not so that we had a revolution of our market share, but the bank historically wants to be a deposit-oriented bank rather than loan-based one. But I must say that things are relatively well. We are very happy about the rebound in micro. It was a certain surprise to me when I joined the bank that the micro segment was relatively weak given the 500 branches of the bank across the country. It's not so simple because micro is strongly determined by digitization where we lagged behind. Actually, we do lag behind still. But things are on track, and we are happy about the growth -- relatively happy about the growth. The gap, digital mobile gap that the bank had as the lack of investments during the years is now being made up for. We have Lukasz with us who can give some credibility to our entry and ambitions in the corporate segment because he's responsible for that. And in corporate banking, as I said, the bank had always been a major leader and both the ambitions to be the premier bond house in Poland consolidated in trusteeship services, our services are also developing and ForEx is just bread and butter following the general line of business development. And with regard to the strategy, we can say that all the elements are on track. We are above the targets. However, we should keep our detachment because we formulated our strategy under specific conditions in the first quarter last year with certain assumptions regarding the development of interest rates. The decrease is deeper than we had expected. But it is quite an achievement of the bank that we had managed to maintain interest margin. This is something that cannot be repeated, just to make things clear. But also from the perspective of the structure of our balance sheet and its components, that achievement has to be appreciated, both from the perspective of our treasury and business lines. I could say we have managed to manage that. That will probably be the good description. As I repeatedly stressed, cost-to-income ratio -- maybe if you follow my statements from my previous incarnations, I have always been obsessive about that. And Pekao, we have more leeway in this. But I believe we need to make up for the backlog resulting from the lack of investments in the past. We -- with decreasing interest rates, the figure can be at risk. But we assume that the process of technological revitalization of the bank will take some 3 years. Therefore, the flexibility at that stage will be greater. Current costs and also deferred depreciation. As for dividend, for years, the bank has been the postman delivering pensions regularly when others were unable to do so because they were bound by the rules of the supervisory authority. However, we paid out the dividend, and we don't want to change this more. We will do everything in our power to be able to pay the dividend in the range of 50%, 70%. There are a lot of elements that are structurally linked to our functioning within conglomerate structure. But we keep this track. Over to Marcin.
Marcin Jablczynski: Maybe I will briefly announce something that we call decarbonization plan in line with the directive on sustainable reporting, that is transformation plan. It might be misleading. That's why we changed the name to decarbonization plan. For the years 2025 to 2027, we defined our assumptions for ESG. And environment, of course, is a major component, all environment-related issues. Now with -- in accordance with requirements, we published our plan, and we defined 2 major branches or 2 major components of our credit portfolio. That is the funding of energy sector and mortgage loans that are under this plan in terms of targets by 2030. We want to reduce intensity of emissions in those 2 portfolios by about 40%. We are talking about major growth in our plan. And the growth focus on renewable energies, gas-powered power plants. And also in this time horizon, we assume that some portion of funding of nuclear power plant will be there with a decreasing proportion of funding of fuel -- fossil fuel powered plants. This is also in line with energy efficiency of buildings. Here, our portfolio will be funding buildings that are energy efficient to a greater extent. We will also fund renovations aimed at reducing the consumption of energy. The entire document is published on our website. I really want to vent here. I already did that at the previous conference, but I want to stress very clearly our determination to make sure that the goals related to the broadly understood environmental aspects and social aspects. So here, the bank is determined to organize itself around those issues. The doubts that emerged not a long time ago, I talked with a representative of a foreign bank where a single e-mail was enough to cancel the whole problem. We are not in this camp. We will uphold our determination in this regard. But I would also like to share something I have already talked about, a certain excess of discussions about CSRD. I also asked our report to be divided into 2 parts. One is financial, including ESG. And the other part is only focused on ESG. And this is overdone. Of course, there is some thought behind it Omnibus addresses the matter to some extent. But I believe this is the best proof how much intellectual effort is being made to produce pages from 111 to almost 350 versus report on activities, which also includes certain ESG activities, which comprises 100 pages. I would like to see analysts willing to read that. That is the most advanced professional group. Have you read that on Page 207, there is a table with very few numbers. So my point is I'm just bearing my soul. That's my deep need to signal that there is too much form compared to the content. We can achieve a lot without getting engaged, involving people intellect of highly sophisticated individuals that produce material that only Andre is able to read. So I have this urge to express my view here. Now regarding how we organize ourselves, Well, it is with great humility that I have to admit, well, the bank has a lot to -- of catch-up to do in many areas, but there is some success. It has something to do with PZU and the ability to calibrate in a friendly matter these products means that, for example, with reference to mortgages on properties, we have quite a good product, which is quite well received on the market. And we are able to offer it in those 5 outlets that we have. And also binding our mortgage with the PZU product should, in fact, result in better sales. But it is not due to insurance that people go for mortgage, right? There will be perhaps some questions that already were answered in the previous conference. Now the CyberRescue, I could be biased here because this is a structure that was created in my other incarnation, if I can take the liberty to use that term. But the banking sector actually owes its customers some extra effort in terms of CyberRescue. Now in the past, I took part in many initiatives to sensitize customers. They were campaign awareness campaigns, social campaigns to that end. And in the structure of accelerator, the CyberRescue solutions have been developed and it's not just the issue of securities against cyber attacks on banks, but it's also a service that we have implemented and we are proliferating in our bank for individual customers whose goal is to arm our customers whenever they are faced with the cyber threat, not necessarily banking cyber threat to have a contact point. I'm not going to tell you stories. I remember when I, myself, was a victim of such an attack. I realized just how lonesome people are when they are undergoing this situation, CEO of the bank copes because they have people that can call, but an average customer finds it more difficult. That's why I decided to devote more time to it during our first conferences and customers due to GDPR or all the other wonders in the world have legible access to such solutions. And this is what banks can do and CyberRescue serves that purpose, and it's a hub that has competent people that can give some advice 24/7. It might not have to be perfect. It needs more investment perhaps, but the openness to this is meaningful. So it's not a question of 300,000 people giving consent vis-a-vis 5 million who haven't, right? We will have to reinforce the efforts here. We know that bank is behind in the area of digitalization and the self-service zone is something that will be spoken about again. Lukasz will speak about it mainly, but we have some progress here, systematic and inevitable. Most likely, it will be more visible towards the end of this year and next year. And we have an increase in customers in many aspects. Perhaps a few words about our 30% share in creating an infrastructure for family foundations. But what's most joyful to us is that an increasing number of our customers that have a slightly higher profile than those to our competitors are using our mobile banking app. And we have an increasing share in the products that should be sold digitally. Perhaps it's not yet up to our ambition, but it's growing. We might not be showing this, but for example, the idea of selling insurance products, which are perfect fit for this type of sales. So on the right-hand side, you will have a whole list of the solutions available. And, Lukasz, over to you.
Lukasz Januszewski: Hello. A warm welcome. I had the pleasure to join the Management Board on the 1st of September. So over the next few slides, some information that I'm going to share with you. We will intertwine these facts with the corporate banking division that I'm responsible for. And then also with the division of Robert Sochacki, we cooperate very closely our areas intertwined to make sure that we are client-centric because the way we establish, report and build relationship varies between the 2 sectors, but the banking platform and the synergies that can be achieved, especially from the point of view of technology and product are really worth having a joint outlook on these issues. In 2 years' time, the bank will be 100 years old. So we know about banking. We know about products. But what we believe in and what we were betting on in 2025 is the knowledge of industries because in the corporate business and what customers are facing in a transformative economy, a growing economy like ours are a number of challenges. And in order to be able to find the right solutions, you just need to know your business. And that's where we're investing. We are going to ensure further on to make sure that our people other than main bankers also do understand the corporate businesses they deal with. And the enterprises, the sectoral specialization expertise is important. We can deliver this knowledge, this expertise and this discussion in various manners. We are talking sometimes about hundreds of millions of financing, but we will be having a different conversation when we're talking about several hundred thousands PLN or a few million PLN. But the problems remain the same. And the answer to those is digitization, webinars, making sure we can use the technology to be able to share and multiply the know-how and democratize this knowledge, we have made some investments to that end already. On the other hand, our local presence matters. We might not be the biggest country, but we are quite vast in terms of geography. So hence, our specialists are located in 74 corporate centers, which shows the scale of our operations. Thanks to that, we remain close to our customers. Now relationships will remain the foundation of our growth. And this is a strong pillar, I must say. We have achieved a significant increase in terms of customer acquisitions, both in SME and the mid-market sector. Now for the mid-market sector, we have customers with a turnover over PLN 50 million. And we have acquired 1,013 customers. That's the data from last year, which illustrates really well the fact that, well, customers like banking with Pekao SA, and they do want to cooperate with us. So the financial leg is very important in the growing economy. But on the other hand, what Cezary has spoken about room for improvement is digitization. And this has a few dimensions. First of all, our ambition is to grow faster than the market, and we have a 2-digit growth on the market. So we need to renew quite a lot of our portfolio in corporations every year and then new acquisitions are added on top of that. So the simplification of processes will be focusing on processes that have to do with financing. On the other hand, we need to be cautious in terms of cost generation. We don't want this to be head-in-head parallel to the growth of our employees. It's not just a question of cost, but it's also a question of quality. If we want to be the leader of understanding industry, we need to invest in our employees. It's very important. In 2025, we used AI, especially for the purpose of preparing meetings for our customers. And we have prepared advisers to face our customers during meetings. And we can see that this application of AI technologies is doing really well. On the other hand, we are also using quite important events. We take our logo, Bison logo, to the stock exchange, and we bring this idea closer to our entrepreneurs who are thinking, considering expansion, and we're bringing them closer to various methods of getting capital equity or getting financing. So there's a whole area of advisory services that we have spoken about. So the digitization that I wanted to refer to, it has this leading motto. Cezary speaks about this often, and that's the technological debt that we have in Pekao. We want to return it in the currency of time. We want to provide these constructive conversations about challenges. And we want to give it back to our customers to make sure that the relationship they have with the bank is convergent whenever we talk about important things such as development, expansion, diversifying exports, structuring their financing, et cetera. These are issues that entrepreneurs really want the bank to be able to talk to them about, not necessarily issues that you can deal with yourself via electronic banking or something else. So these are issues that we are going to be investing in strongly. Now economic transformation and enterprise transformation is also happening in the public sector, especially municipalities, communes, cities, agglomerations. And here, Pekao SA happens to be the leader in terms of this cooperation. So both the energy transformation and all the aspects that we have touched upon in the area of environment is something that we strongly support. So my speech has been a little bit generic so far. But on the other hand, well, 2025 kind of illustrates all that in the current growth of credit volumes, customers are responding really well to our proposals. We increased our market share, both in corporate and enterprise sector. Our market share has exceeded 15% also for large corporations. We have reached almost 14%. Like I said before, we have -- we acquired customers both in SME and mid sector. And what we wanted to share with you is something that you might have noted already is that our factoring company has reclaimed its leadership in the rank, thanks to PLN 100 billion turnover and the year-by-year growth is 21%. I wanted to stress that because it's not just a question of implementing the strategy that we perceived as comprehensive for our group because we put the factoring offer and the leasing offer under one umbrella, but this also has another dimension, and that is of addressing potential bottlenecks or challenges in the flow of payments or receivables. And we are really, really proud of reclaiming this #1 position here. On the other hand, our leasing has noted some growth as well. We are #5 still, but it had a 2-digit growth in volumes, which is good news to us. Volumes have also grown in the more granulated sectors and that is financing micro entrepreneurs, an area where we were undervalued before. And some selected transactions here in which our bank has had a significant role to play. This is a selection, and you will find us, I'm sure, in a majority of significant transactions from last year. Something that has had significant media coverage lately was the launch of a first since decades, Polish ferry on the seawaters, we've had quite a contribution to this. So from the point of view of enterprise banking, it's very important to stand on 2 legs, right, to have the large strategic players in your portfolio. But on the other hand, some of the SMEs. And we can see quite clearly that this allows us to see the flows in the economy. And at the end of the day, it also allows us to better assess the risk. Dagmara will be talking about our financial results more clearly. Other than the growth in assets, we are happy to see that our outcome also has 2-digit dynamic in terms of commissions. So the growth in acquisitions plus the focus on customer relationships translates to higher product rates, better transaction rates, and we are looking to see further growth in our results in this trend. So I would end here and give the floor over to Ernest.
Ernest Pytlarczyk: So a quick macro update. For sure, already in 2025, which is the subject of this presentation, a lot of trends were outlined already in the last quarter. We had an increase in GDP. This year, it's likely to be 4% up. The structure of investments, the growth of investments may reach even 10%. 2026 and '27 we'll see accumulation of the absorption of funds from the resilience and recovery program. Those investments will regard mainly large companies and large exposures. But will also have an impact on consumption and labor market. This is probably one of the aspects that differs us from the consensus. We see that the labor market is loose. It's not going to exert an inflationary pressure or an excessive pressure on pay rise. We had 6.1% remuneration dynamics, which is much below the consensus. We think we will go below 5%. This sheet is a summary. We could see 5% for pay rise, then there was an inflation and 2 with double minus is, again, inflation. Inflation is going to be very low, below the target. It consists of salaries, which slow down and cheap exports from China and the extension of the energy shock. There is an oversupply of many energy resources. And also regarding GDP, there is a lot of investments. In consumption, the dynamics is much lower than in previous years and the labor market is kind of loose. We do not expect a significant increase in unemployment rate. No, definitely not. But in certain respects, it is a major variable regarding the general sentiment, social mood. And as for dynamics of interest rate, something that is very important for the banking sector, we expect 2 or 3 cuts. It's hard to say yet how many exactly. But probably the growth in volumes is likely to compensate any loss resulting from lower interest rates. The volumes are going to grow aggressively, in particular, in corporate segment.
Dagmara Wojnar: Good afternoon, ladies and gentlemen. My colleagues have given you a business overview, and I will tell you in greater detail how we embedded that in numbers and what our results for 2025 are. Starting with loans. These grow in general 8%; retail 5%; corporate 11% up. In retail, it is worth noting that we had a growth in cash loans, which was up 13%. It is also important that we are going to transform. The cash loan is sold through electronic channels. Almost 90% of agreements regarding this loan are sold through electronic channels. As for corporate loans, mid and SME are growing, corporations are growing, micro is growing. And here, we see 2-digit growth. Lukasz has already mentioned the clients. The acquisition of new clients is important to us. And if we look at 2025, the acquisition was good, about 1,100 new clients in mid segment were acquired. To sum up the credit loan side, we said in our strategy that we wanted to grow in key areas. And those key areas were defined as cash loans, micro, SME and mid. These were the areas where Pekao historically had not been properly balanced because in corporate segment, it had historically and continues to have a good position. In 2025, we consolidated our position, our shares, market shares in those segments that are important to us. Loan credit side, 4% growth in deposits, both in retail and in corporations. It is worth noting here the role of TFI investment funds. We have 20% year-on-year growth on assets under management. Apart from deposits, we are opening new accounts, almost 500,000 new accounts were opened. And a large portion of those new accounts, about 35% of these were accounts for young people up to the age of 26. When we talk about liabilities, it is worth talking about issues. We had 2 issuances for MREL, one Tier 2. It is worth saying that we had a significant almost threefold oversubscription and the issuance offered excellent conditions. The conditions bring us close to major players from Western Europe. And if we look at 2025, we see that in our portfolio, we had over 100 new foreign investors in debt issuances. Foreign investments now. 2025 saw intense decrease of interest rates. 3-month WIBOR dropped year-on-year 7%. And our interest margin remained, as you can see in the slide, on the same level. It is worth detailing how we did that. On the one hand, as you have already heard, one driver was the growth of volumes. The growth of volumes in segments that generate higher margins. Therefore, the structure of the balance sheet and the structure of loans changed somewhat in 2025. Then on the side of liabilities, we reacted very soon to the fall of interest rates, decrease of interest rates and the policy of managing deposits helped us to stabilize this margin. There was also a change in the profitability of our portfolio of securities. In 2025, we repriced old COVID papers with lower profitability to new debt papers with higher profitability. We also have hedging that is growing in 2025. If we look at our sensitivity, 15 basis points versus 100 basis points decrease in interest rates. As you can see in the fourth quarter, our NIM dropped to 4.7%. And if we look at how we start 2026 and if we keep in mind the upcoming interest rate cuts, keeping this for at the front will be a challenge. If we move on, a few words about our result on commissions. This is something we are happy about. That is another quarter in a row where we have a 2-digit growth. Year-on-year, the growth is almost 11%. This is also something that we communicated in our strategy. Historically, in the commissions, we grew at 1%, 2%. And we said we wanted to change this. But this actually happened in 2025. We treat this profit on commissions as a stabilizer of our income. Taking into account the decrease in interest rates, this is an element that does stabilize results a little. If we look at 2025 as a whole, each component of the result on commissions contributed to this overall growth. There was a growth in commissions on loans, cards, brokerage services. This element was quite significant there. Let's remember that in 2024 and in 2025, the profit on managing brokerage assets and services contained an element of success fee that takes into account the results of our investment funds. So that is a major element of our success here. If we move on to costs, we also declared that on the one hand, we would try to keep personnel costs under control. And on the other, we needed some space to increase depreciation and fixed costs. Personnel costs decreased year-on-year. Let's remember that in 2024, at the end of the year, we announced a program of voluntary retirement or voluntary leaving of the company. We had 5 people who took advantage of this program of voluntarily leaving the company. On depreciation, we have 17% growth. We had an increase in IT, telecommunications, a little marketing and advertising depreciation and amortization also growth because projects that we started contribute to it as well as activities, investments we announced in our strategy like modernization of our branches, modernization of the call center. These are the elements that we started implementing in 2025, and we will continue over the space of the strategy. Now the cost of risk, over to Marcin.
Marcin Gadomski: Thank you, Dagmara. The cost of risk, as you can see, is at a low level, 39 basis points, which is significantly lower than the strategy assumptions at 65, 70 basis points. In the fourth quarter, the cost of risk in the retail segment was even negative. And throughout 2025, it was close to 0. That resulted from an excellent situation in the labor market. There were no signs of excessive loan rate among our clients or in post society at large. We have a good loan repayment rate. And also in the second quarter, we reassessed, reevaluated risk parameters that we use to make write-offs for impaired value. Also, the result on nonworking loans, non-repaid loans throughout the year. As for costs in corporations here, these are more normalized. In 2024, we had a situation where some companies that a lot of energy intensive experienced problems resulting from energy prices. Now the situation is stabilized. So there are no systemic factors that contribute to losses in this portfolio. It is more about individual problems of individual companies that they have some issues regarding their operations, then they are more exposed to possible perturbations. As for systemic factors, for sure, in some segments, we have competition from Asia, also related to customs and shifts in customs. However, these are not elements that would have a major impact on the overall situation in corporations. Low cost of risks, combined with restructuring allow us to stabilize NPL. It is even decreasing slightly. In the corporate part, it is higher because, unfortunately, on the major issues if there is something like several dozen million worth, such cases continue for years. And this ratio has a major inertia. But in retail, as you can see, it is at a much lower level. This is a ratio that allows us to pay the dividend in line with our dividend policy. Also, there is also the ratio of sensitivity of interest result that is something that we meet. This is imposed by the regulator, Financial Supervision Authority, but we are on track here. And back to Dagmar.
Dagmara Wojnar: Capital position. As Marcin has said, from a regulatory perspective, we meet the criteria for dividend payment. We assume the strategy payment at the level of 50% to 75% of net profit. Talks are underway on this now. CET at 15%. This CET does not contain profit for the second half of 2025, only 25% from the first 6 months of the year. If we move on MREL, we meet the MREL requirements with a surplus. In 2025, we had 2 MREL issuances, one in Tier 2. And it should be said that these were broad spectrum, green senior preferred senior. And the only thing that is still missing in our range of instruments for capital management is an instrument for AT1 management, and we will want to have an issue like that. To sum up, we end 2025 with the highest to date profit achieved by Bank Pekao. I could say that we are accelerating both in volumes as most of our volumes grow at a 2-digit rate, we're also gaining market shares. Our result is stabilized by the component of the profit on commissions. And in spite of the issues that I have mentioned, costs are kept under control. We have a safe risk level. This was not discussed broadly, but we are -- we continue to be bank #1 in stress tests by EBA. And all that translates into building value for our shareholders. Thank you very much, and over to Cezary.
Cezary Stypulkowski: Well, I will not be boasting too much about the awards if you want, you will read about this, but we have been given a few. And one thing that Marcin has whispered into my ear is that I made a Freudian slip actually. I confused the 2 names. So it's either a confusion or contamination of names, one of our friendly banks, which still means that we have some problems with calling things by their names. So it looks as though this is so deeply rooted in our conscious, where it happens on such a level. So we have a structural problem, which we will be trying to address. One more to add, not much is there really. Okay. Let's give our audience a chance and take questions. Thank you for visiting us. Our conference is always a hybrid event, so -- but you can still show up if you like.
Cezary Stypulkowski: Question from the audience.
Unknown Analyst: To make sure that I'm seen in the audience, I'm from [indiscernible]. I wanted to ask you about the mortgage market. I understand that it is not your core market and that this strategy really allows for growth in other segments. But you are an important player on this market anyhow. What is happening there? Because we do -- we are guessing that there is a significant share of refinancing, but we don't have a lot of data here. We are mostly based on feel. The scale of prepayments or overpayments could be something to think about given the interest rates, which perhaps is not very encouraging to do so. But also, does the -- the big proportion of mortgages doesn't really translate into a growth in the purchase of real estate, which doesn't seem to be so big. So what's really happening in the mortgage market?
Lukasz Januszewski: Okay. A few points. Definitely, the reported sales is higher than what is actually new money on the market of -- on the real estate market. Now in our case, the early repayment would account for about 1/5 of new products. But from what we can see on the market, it's probably a little bit more than that. Talk about estimations. But you need to also take into account the phenomenon which is getting more and more visible now is that some of that production is not seen because if a bank reacts to what's happening in the market and then annexes the contracts, thereby lowering the interest rates, you don't see it as new products, but the outcome is similar. So that means somebody has lowered their interest rates. And this is a phenomenon that is not yet visible on a mass scale as it is on mature markets, but the market is picking up on that. So -- as a result, I think it is good for thought in terms of how this mortgage product presents itself here. Other than the legal issues, we are looking at a product where the fee for early repayment is very much limited, which creates the situation where the interest rates are dropping, they are variable. But when they are growing, it's fixed. We are -- we have been learning that. We have been forecasting that. And in our hedging policy, we have been trying to address it. Still, the standard of coping with this challenge will perhaps get a better shape after this decrease in interest rates because it's not yet been harmonized.
Cezary Stypulkowski: Yes. Well, I am reticent regarding mortgage product, not because I believe it's unimportant. It is very important, especially from the point of view of customer relationship, depending, of course, on the customer groups. This is mostly a trend driven by demographics. But it is a product where the Polish banking sector has been losing money systematically as a result of lack of regulatory security and the public noise that has been part of this deal. And we are subject to some regulations and some disciplining measures. We are accountable for the deposit part of it. And I would be cautious. We don't know what can happen to us in this area. But every year, there is a surprise. Well, if we were to continue the account for mortgages, I think it's worth doing an exercise, right, with the fixed rates, et cetera. Well, most -- the most reasonable conclusion is that the banking sector has been losing money on mortgages recently. So we live in a world where this product from the point -- from the professional point of view is very difficult to defend. So well, you need to find your way forward in it. My mantra would be that it's a product that essentially you should sell to your own customers that are loyal and they have a specific age profile. However, the market has gone a different way. There are some intermediaries on the market who make money on that. And they don't take any risk upon themselves, but they take a fee. So my impression is that there is no holistic look on this market regardless of the narrative that's visible here, which means that some more loosening of the market dynamics. Some believe that the long-term mortgage is a very valuable project in the long term. I generally agree. But well, the only thing that's certain in the long term is the fact that we will die. The same economist also said that people would be working 3 days a week in 2000, and that never came through. But the fact that we will all die is definitely correct, and he was right about that.
Unknown Analyst: You mentioned that your strategy was created in a different environment. Investments are speeding up. You are repaying the technological debt from what I've heard with some outcome towards the end of this year and the beginning of next year. Have you thought about updating your strategy before the 100th anniversary?
Cezary Stypulkowski: Our strategy was written up to 2027. It was a short-term strategy. There have been banks that announced a 10-year strategy. So we were pretty much in kindergarten. We assumed we had a short-term assumption, and we updated it to test what the bank could do if it was -- if it had slightly more discipline and it was better managed. And some goals were set. The volume development and that has been a success. It remains to be seen how lasting the success will be. Fast growth often leads to a fast fall. So we've seen that happen. So we're on a trajectory, but we need to still consolidate our path. And the other one is a question of commissions. How do we manage that to make sure that the growth has a reasonable pace here. And these 2 components have been successful. 2027 was included as the end of the strategy. 2029 is our 100th anniversary. So the effort is going to be to make sure that we route our strategy slightly deeper. And that's going to happen 2027 onwards, right, seeing 2029 and after as a perspective.
Marcin Jablczynski: Right. Some of the questions were probably already answered during the speeches, but over to Kamil, please, who always finds something.
Kamil Stolarski: Santander. Let me just ask about dividends. Is it going to be closer to 50%? Or are you comfortable with 75%?
Dagmara Wojnar: The comfort is within the scope.
Kamil Stolarski: From the point of view of the results, everything seems to be clear. There will be some detailed questions about the reorganization of PZU. Please, can we have a status update?
Cezary Stypulkowski: Well, we believe that we managed to develop over a few months a potential scenario for this transaction, what it could look like, assuming that there is a willingness from the side of shareholders to go forward with it. And indeed, this is also linked to how the PZU Group itself and its insurance section should transform so that such a transaction can take place. And after many months of work, we have developed a market scenario, which is not quite so complicated, which links us to the developed scenario. So PZU is working on splitting its structure into holding and operations and work is underway as far as I know, to keep it going. And I'm appealing to my colleagues in PZU to give a more precise answer. Now furthermore, we have some aspects here that go beyond our competence, professional or technical that are linked with what we all know, some political background, which is quite sharp at the moment. It could be perhaps -- it could perhaps be linked to some discussions that could go beyond what I can predict in my professional capacity as far as the market conditions for this transaction are concerned and it goes beyond my capacity to interpret that. But as has been said many times before, the prerequisite of that is that the laws are adopted also from the point of view of PZU's capacity to divide and to isolate its holding inside the structure regardless of the transaction of the deal. And this will probably materialize in the form of some argumentation. But in the near future, it will probably gain more shape.
Marcin Jablczynski: Any further questions? If not, thank you very much. 30th of April, first quarter report. Thank you so much for your presence and see you soon. [Statements in English on this transcript were spoken by an interpreter present on the live call.]